Operator: Ladies and gentlemen, thank you for standing by, and welcome to Marchex Fourth Quarter 2019 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to Mr. Trevor Caldwell. Thank you. Please go ahead, sir.
Trevor Caldwell: Good afternoon, everyone, and welcome to Marchex's Business Update and Fourth Quarter 2019 Conference Call. Joining us today are Michael Arends and Russell Horowitz. Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements, including references to our financial and operational performance, and actual results may differ materially from those contemplated by these forward-looking statements. Risks and uncertainties that could cause these results to differ materially are set forth in today's earnings press release and in our most recent annual and quarterly report filed with the SEC any forward-looking statements that we make on this call are based on assumptions as of today, and we take no obligation to update these statements for subsequent events. During this call, we will present both GAAP and non-GAAP financial measures. The reconciliation of GAAP to non-GAAP measures is included in today's earnings press release. The press release is available on the Investor Relations sections of our website. At this time, I'd like to turn the call over to our Chief Financial Officer, Mike Arends.
Michael Arends: Thank you, Trevor. Good afternoon, and thank you, everyone, for joining us today. 2019 was an important year for Marchex. We made significant strides in our evolution from an insights and analytics provider to an insights, analytics and sales acceleration company. Our foundation as the industry-leading call analytics solutions provider has been critical in opening the door to this bigger opportunity with cross-channel consumer insights centered on sales acceleration opportunities. As we focused on measuring the effectiveness of inbound marketing-driven phone calls to businesses, we amassed a wealth of conversational data. We felt that if we could leverage this data in strategic ways, there would be a multibillion-dollar opportunity based on moving beyond insights and into sales enablement and acceleration. Today, our product solutions and ongoing investments in artificial intelligence are helping our customers use this data not only to understand their marketing return on investment, but most importantly, to close the loop with this data to improve their sales processes and achieve better sales outcomes. Our future is in helping businesses enhance the efficacy of their sales initiatives and create measurably better customer experiences that help them grow faster. In the fourth quarter, we acquired Sonar Technologies, which is an enterprise text and messaging sales engagement platform. This extends our analytics and engagement solutions beyond calls into text and messaging. Sonar's technology enables enterprises to deliver timely and highly personalized experiences via text messaging, which is one of the most heavily used mobile consumer communication channels. Sonar brings us a strong team with deep subject matter expertise. Sonar processes millions of messages for leading organizations in real estate, consumer lending, travel, automotive and other industries. We are working towards giving our enterprise customers a view of their customer conversations across calls and texts, which are 2 most common business communication channels on mobile devices. As part of this, our evolving platform will measure how effective sales processes are in driving and converting high-intent customers on their smartphones as well as provide businesses additional solutions to create better customer experiences in the communication channels they most prefer. We anticipate integrating the Sonar platform with Marchex by the end of 2020, which will enable us to start delivering on that vision to create a unified view of these growing customer interactions in voice and text, which, as noted, are the most prevalent mobile business communication channels. This is mission-critical today. For the first time since the launch of the smartphone, mobile phone usage eclipsed TV screen time in 2019. We are convinced mobile will remain the center of consumer and business communication. Our progress in product innovation reflects this belief and is driving new opportunities across our business and helping to position us as a leader in conversational analytics and sales acceleration solutions. We're capitalizing on the early positive feedback from Marchex Sales Edge Suite, which is an artificial intelligence-based solution that enables businesses to understand customer conversations in real time and at scale to optimize their sales processes and win more business. Essentially, we're giving businesses data-driven intelligence and deep knowledge of consumer intent, which is key to delivering personalized experiences and closing more sales. We're pleased to report that we've added 4 customers, including pilot conversions, for Sales Edge Rescue. These new customers will fully onboard over the coming quarters, and we expect to add new pilots, convert more of the current pipeline and add additional new customers for Sales Edge Rescue. Sales Edge Rescue offers conversational AI-infused call monitoring, scoring and engagement to alert businesses when potential buyers end the conversation without making an appointment or a purchase. It identifies when high-value customer conversations are mishandled and immediately delivers this intelligence to businesses so they can reengage with customers and rescue the sale. Just yesterday, we announced enhancement to this product by adding closed-loop conversion insights. Now Marchex can track and analyze the effectiveness of the outbound business response when the sales team responds to a high-intent alert. This type of closed-loop product suite is the first of its kind for Marchex. It allows us to not only measure an inbound call and identify missed high-intent opportunities, but it also tells us whether or not sales personnel were successful at capturing those missed opportunities and achieving the value impact. It enables our customers to measure the effectiveness of their sales process in real time, leads to better customer experiences and also enables them to close more sales. As we integrate Sonar, we will also be integrating texting engagement capabilities to further expand the applicable use cases for Sales Edge Rescue. I'd also like to talk further about one of the most important drivers of our future success, artificial intelligence. AI has ushered in a new era of customer engagement. In fact, AI and machine learning can now process data and information at rates that far outpace traditional software, let alone the human brain. Not only that, AI can power better and more personalized customer experiences, that's because it takes mere seconds to recognize patterns and produce predictive insights useful in both customer acquisition and engagement. These capabilities enable one-to-one marketing that drives higher levels of customer engagement and ultimately informs more effective strategies for customer acquisition. We're infusing our product pipeline with these expanding AI capabilities, which reinforces our commitment to being a leader in providing conversational intelligence and sales acceleration solutions for our customers across voice and text as well as in select verticals, such as auto and others. With that, I'll hand the call to Russ.
Russell Horowitz: Thanks, Mike. We're heavily focused on the impact our newest products can have with existing and new customers and are, therefore, investing in the talent and next-generation infrastructure needed to make meaningful progress. This is the context for our recent additions of new executive and senior leadership positions, which is a key part of our commitment to accelerate the customer adoption of our products. We're very pleased to bring on John Roswec as our Chief Revenue Officer. John is a seasoned sales leader with a long track record of success, scaling sales teams at innovative technology organizations with the world's largest brands. He's been in the technology and media industry for more than 20 years and deeply understand this space. As we continue to execute on our opportunities, we will look for places where we can augment our team with world-class talent, look at potential acquisitions that's financially sensible or at partnerships that can accelerate our efforts. Our new expanding capabilities are enabling Marchex to solve large-scale problems that have plagued businesses for years. By empowering businesses with our unique end-to-end sales enablement solutions, we're positioning ourselves as the partner of choice in the conversational analytics and sales acceleration landscape. We've made meaningful progress over the last 2 years in everything we're doing today, from our investments in products and infrastructure, to our leadership additions and strategic initiatives, is designed to help us take advantage of the new and significant opportunities emerging in our business. There's much still to do, but we are committed to helping our customers solve mission-critical problems and translating that into meaningful growth for Marchex. And I'll hand the call back to Mike.
Michael Arends: Thank you, Russ. Looking at our financial results, for the fourth quarter, revenues were $28.6 million. During the quarter, we saw year-over-year growth for both our Analytics and Marketplace products for the fourth consecutive quarter. Looking more closely at the product areas, core analytics and solutions revenue was $12.7 million. We continue to see progress on a year-over-year basis, particularly based on the rollouts we've had with customers and trials and early integrations. Verticals like auto continue to be drivers. And just as importantly, we believe there is considerable opportunity to expand our footprint of adoption in the auto vertical and others in 2020 and beyond. Also, we recently successfully converted some of our earliest pilots for Sales Edge Rescue into annual commitments. While the revenue from the pilot showed up in our noncore revenue line in the fourth quarter, we expect at some point later in 2020, that these will start to contribute to core analytics as these customers roll to full programs. Looking at the marketplace. Fourth quarter revenue grew on a year-over-year basis, largely from budget increases from certain large customers as well as some contribution from new customers as compared to the year-ago period. During the quarter, we also saw incremental progress in our Thryv relationship on a year-over-year basis, with growth driven by increases in marketplace initiatives offsetting the decline in the legacy Local Leads product. We continue to anticipate Local Leads will transition in the near future, consistent with prior commentary. However, we expect some modest contribution may extend through the first part of the year. And looking at the P&L for the fourth quarter, excluding stock-based compensation, amortization of intangible assets and acquisition-related costs, total operating costs for the fourth quarter were $28.1 million, compared to $22.4 million in the fourth quarter in 2018. Service costs were $15.6 million, up from $12.6 million in the fourth quarter of 2018. Service cost as a percentage of revenue were flat on a year-over-year basis. Compared to the third quarter of 2019, service costs increased due to an increase in the percentage of revenue tied to the Marketplace product progress. In 2020 and beyond, as our new Analytics products launch and they contribute to growth over time, we believe growth in our analytics stream can positively impact service costs as a percentage of revenue. We also believe there are several investment efforts we plan on undertaking with respect to our analytics infrastructure that will provide long-term margin benefit in 2021 and beyond. Sales and marketing costs were $4.3 million. This amount was up slightly compared to the fourth quarter of 2018 on a percentage basis. Product development costs were $5.3 million and were down slightly as a percentage of revenue compared to the third quarter. In the fourth quarter and continuing throughout 2020, we will continue to invest in new products and our expanding AI and data science capabilities. Our core platform work was in full swing in 2019, carrying through the fourth quarter, and we expect will be largely completed later this year. Through our product and infrastructure initiatives, we are broadening our market opportunities and positioning Marchex for long-term growth. Moving to profitability measures. Adjusted operating income before amortization for the fourth quarter was $527,000. Adjusted EBITDA was $1 million. Net loss applicable to common stockholders was $400,000 for the fourth quarter of 2019 or $0.01 per diluted share, compared to a net loss of $637,000 or $0.01 per diluted share for the fourth quarter of 2018. Adjusted non-GAAP income per share was $0.01 per share, compared to adjusted non-GAAP income of $0.02 per share for the fourth quarter of 2018. Additionally, we entered the fourth quarter with approximately $43 million. We ended the fourth quarter with approximately $43 million in cash on hand. Now turning to our outlook for the first quarter of 2020. We are forecasting revenue of approximately $25 million for the first quarter for core analytics and solutions. We are forecasting revenue to increase from both the fourth quarter of 2019 and the prior year comparative first quarter and be in the range of $12.8 million. As previously mentioned, the rollouts of some Sales Rescue converted pilots will start to contribute as the customers fully onboard in 2020. While it may take time to contribute meaningfully, we expect our Sales Edge Rescue and other related new products will be key drivers of potential growth in the future. We also further expect that the new products and trials we will launch this year will set the stage for potential further growth as we move through the current year and into the next. In addition, we are in the process of ramping our relationship with a large OEM customer, which is expecting to commit additional resources to accelerate adoption of our products over the course of 2020. Our new sales leadership is now re-optimizing our team to take advantage of this added support and opportunity. And further, as our sales initiatives ramp and our new products begin to gain traction, we anticipate that growth in our auto vertical could accelerate in the second half of the year. For our Marketplace products, for the first quarter, we are forecasting relative stability or potentially a modest increase in revenue on a year-over-year basis, excluding the decline of the legacy Local Leads product. Our product progress enabled Marchex to get a disproportionate allocation in the fourth quarter from a limited number of our marketplace customers, and we're still in conversations with those customers regarding their annual view of their commitment but believe we will continue to see potential opportunities for our marketplace products in 2020.  Next, looking at adjusted OIBA and EBITDA. I want to highlight some of the strategic priorities that are defining our investment priorities for the year. First, we expect to invest in additional sales and marketing personnel and initiatives, commencing particularly in the first part of the year as we accelerate our initiatives to capture what we're seeing as the increasing opportunity for our conversational analytics products and sales acceleration solutions. Second, we plan to invest an additional $2 million addressing various infrastructure initiatives, including consolidating infrastructure and data centers during 2020. Through these initiatives, we anticipate that we will recoup more than $1 million in annualized cost savings for the company beginning in 2021 and beyond. And third, we made an investment in a private company that is developing an opportunity within auto services that is independent from our existing auto analytics product focus, but one we believe can benefit from our technology investment within the auto vertical over time. We believe this investment can help broaden our overall strategy, deepen our industry coverage and offer us more ways to leverage our technology investments. We expect to allocate $2.5 million towards this investment in 2020. And fourth, regarding our guidance for profitability measures. Consistent with prior years, it is worth noting that there are adjustments, including compensation, personnel-related items and certain professional fees that flow through disproportionately in the first quarter and first half of the year as compared to the second half of the year. As a result of these initiatives, for the first quarter, we are forecasting adjusted OIBA to be a loss of $1.5 million or better and for adjusted EBITDA to be a loss of $1 million or better and near breakeven, excluding charges related to our investment in our auto service opportunity. We anticipate making profitability progress through the course of 2020 and anticipate adjusted EBITDA to be above breakeven for the year, excluding the auto service investment opportunity. And in addition, we believe these investment initiatives can help build a meaningful growth and operating profile for Marchex in the future. In 2019, we made significant progress in rolling out new large potential customer relationships. We launched new products and began laying the foundation for the new technical infrastructure that will support increased scale, real-time capabilities, integrations and future product innovation for years to come. Our new technical architecture will enable Marchex to innovate and integrate faster and to capitalize on the ongoing investments we are making in AI, data science and new solutions. One example of this is our recent acquisition of Sonar, which we anticipate integrating into our core offerings by the end of 2020, and we expect an incremental positive contributor to our aggregate margin profile thereafter. Two years ago, through listening to our customers, we saw a significant opportunity to utilize one of the largest conversational data sets created by being a leader in the inbound call analytics market to tackle a larger, more meaningful opportunity. And by virtue of being in the flow of hundreds of millions of sales calls, we saw the opportunity to solve an increasing number of mission-critical problems for our customers. As we evolve our infrastructure to accelerate innovation to release new products, we are beginning to see this focus pay off and customers coming to Marchex for the insights we can uncover through our leading conversational intelligence technology and to utilize Marchex sales acceleration solutions to create better customer experiences, and importantly, close more sales. Today, we are just starting to realize the benefits of our expanding market opportunity, and we expect 2020 will represent a significant step forward. We look forward to updating you on our progress throughout the year. Russ and I want to thank the Marchex team for all their hard work, and we look forward to updating you on our continued progress on our next call. And with that, operator, we will hand the call back to you.
Operator: [Operator Instructions]. And your first question comes from Darren Aftahi with Roth Capital Partners. 
Darren Aftahi: Just a couple, if I may. Just some clarity on a few of these things. So on the four new Sales Edge Rescue customers, how many of those were pilots and then, if you can indulge us, what verticals those were in?
Michael Arends: So three of them were pilots that were converted. One of them was a direct new lead. The verticals, the primary ones, are health care and auto services.
Darren Aftahi: Great. On your guidance and then kind of annual commentary. So I'm just kind of curious, trying to understand the -- so it looks like your analytics guidance kind of year-over-year is flattish. But then you made some commentary about auto OEMs potentially accelerating growth later in the year. I'm just kind of curious what kind of gives you the confidence to say that kind of right now in February. Is there any kind of data point with auto OEM that you feel like gives you strong ambition that growth can accelerate? And by that kind of commentary, how material of acceleration could we see?
Michael Arends: So, Darren, this is Mike. There are several parts to the question in terms of how I think best to address. One is we've done a lot of work on the product to be able to set the stage for new product introductions. Sales Edge Rescue is one of those areas that we've introduced to the market, but there's still various features and facets that will be added over the course of 2020. And the feedback has already resonated with the customers coming back to us, and it's positive. There are new products that are coming. I think that's part of the equation of why we feel some optimism looking ahead. There are new features. And there's that feedback on those initiatives that are specifically Sales Edge Rescue. In terms of the auto vertical, there's a couple of things that are happening. One is the large OEM relationship that we have. They have put forth initiatives to invigorate an opportunity to go after some of their dealer network in a much more robust way, and they're planning on rolling that out here in the coming periods. So we see that potentially moving things forward. In addition, there's a variety of other relationships that we've deepened and also one that are new. And they've stretched not just in the auto OEM area, but some of the auto services vertical. And to that end, I think one of the things that we've then done is, seeing some of this feedback and knowing that the new products are coming on board, we've made the conscious decision to invest further in some of the sales and marketing initiatives, and why we brought on some of the new team members. And we feel good about what some of those things can garner for us as well.
Russell Horowitz: Yes, Darren, this is Russ. Just to add. We've kind of -- we're at or just past this inflection point as our opportunities evolved from analytics to include sales acceleration and enablement. And getting through these initial pilots with Sales Rescue allowed us to work through how to sell it, on board it more quickly. And so between kind of our product evolution and the customer opportunities and visibility, it kind of increased visibility, we feel like as the year unfolds, it's about execution and timing. Obviously, it's early in the year, but that's what gives us, I'd say, the confidence in thinking about 2020 is a good year to execute and make progress with adoption and expansion.
Darren Aftahi: Great. That's helpful. Just last one for me on the auto services investment. I'm just curious in terms of capital deployment, one, why you think this is such a good use of capital as maybe not benefiting your core business and perhaps it does. And then just strategically, maybe you could expand a little bit more on why you think this is such a great use of capital?
Russell Horowitz: I'll jump in and hit on a couple of themes. Automotive is a vertical where we feel we've got some unique strengths, both with our technology and our relationships. And we feel we're executing well and see opportunities for acceleration based on our core continued execution of expansion of capabilities and more and deeper relationships. We saw an opportunity here to leverage the technology and relationships in combination with a defined amount of capital and extend what we think could be meaningful opportunities for value creation. And so that was the impetus for this and why we feel good about it.
Operator: And our next question is from Mike Latimore with Northland Capital.
Michael Latimore: Great. On the 4, I guess, larger customers, 3 of which came out of pilot, I mean, what kind of annual recurring revenue might we think about for these? Is it 5-figure, 6-figure, 7-figure? Just trying to get a sense of the potential sizes here.
Michael Arends: Thanks, Mike. This is Mike responding here. So in terms of the 4 that we have so far, there's a few of them that I think are probably tens of thousands in terms of opportunity, but could become hundreds of thousands of full rollout onboarded revenue streams on an annual basis. And there's a couple of them that we think are already $100,000-plus in terms of the range. I don't think any of them at this stage would be $1 million-plus opportunities, but there are others that we're talking to where there could be some meaningful amounts in that range at some point in the future.
Michael Latimore: Okay. Got it. And then the large auto OEM, you've been working with these guys for a while. I guess what gives you more confidence they might accelerate this year versus kind of last year?
Michael Arends: I think, more specifically, some of the plans that they've put down on paper and that they have scheduled out in terms of time frames, investment profiles, reinvigoration of just some of the initiatives that they want to put forth, and they're making more tangible and concrete moves in that regard, and that's been relayed to us very succinctly and clearly.
Michael Latimore: The addressable market you're in. I mean, what's your general view of the growth rate of that market in call analytics?
Russell Horowitz: Yes, this is Russ. Call analytics, we've looked at is -- it's a meaningful growth opportunity. Obviously, our enthusiasm for Marchex has increased significantly as we've been able to kind of take that analytics opportunity and extend it much more broadly into sales enablement and acceleration. I've historically kind of described that analytics applied to inbound marketing-driven phone calls is a very valuable mission-critical solution. But its limitations of that, you get a percentage of those media dollars effectively for providing your product or service. As we extend that into kind of this broader sales enablement and acceleration market, you're tapping beyond the limited kind of application of a small percentage of marketing dollars based on your value impact to the enterprise, given how you can recognize kind of through these insights what these missed opportunities may be, quantify the impact of what it would mean to harvest those and then provide the solutions that allow them to take action on those and then measure the actual impact and benefit. By doing that, we think our addressable market has been expanded from a very interesting one to a transformational one. And we think the steps we're taking now are clearly catalysts for us to grow and accelerate and validate that and share that progress as well. And so while we're not giving specific percentages, we think it's very meaningful. When you look at the expanded footprint and kind of our access to the dollars associated with the problems we're solving.
Michael Latimore: Okay. Got it. Got it. And then in the press release, you talked about maintaining your profitability profile in fiscal '20. I guess, when you say profitability, do you mean EBITDA, first? And second, do you mean that you would just be positive EBITDA? Or that you'd have the same level of EBITDA as fiscal '19?
Michael Arends: At this stage, I think, excluding the auto services investment, what we've talked about is making progress over the course of the year from the first quarter. And I think that, in aggregate, with that progress, you should get to a point in aggregate for the year where you're above or a positive number. And clearly, when you're looking at the fourth quarter, because of the leverage in the business and the business model, with some of those investments complete by the end of the fourth quarter, you're going to be in a place where you could potentially be at those levels of what the run rates were in 2019 are up.
Russell Horowitz: And just to add, look, what we're looking is we've made the decision to accelerate investment last year in our products and innovation so that we'd have the solutions, like Sales Rescue, we do today. Obviously, more recently, we felt we've seen what was needed to make additional incremental investment on sales leadership and organizational expansion based on where our products and opportunity were. And the nice part about these is that the contribution margins associated with these products is very high. So as we move forward, we'll need to make judgment calls around how much of that contribution we potentially look to reinvest if we're getting validation on growth opportunity and extension as well as letting it flow through.
Michael Latimore: Great. And then just last one on the investment in the private auto services company. I mean what are you getting out of that? Is it access to a new service? Is that a equity investment? Just, really, what's your benefit?
Michael Arends: Exactly. It is a majority stake equity investment. A lot of the development activities will flow through on our results of operations. And hopefully, we get an opportunity to expand and create an additional revenue stream as well as additional opportunity with some of the relationships in the auto services area.
Operator: And there are no further questions at this time.
Michael Arends: We want to thank everyone for taking the time today, and we will look forward to continuing to update you as we go and progress throughout the course of the year. Thank you.
Operator: And, ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.